Operator: Good day, ladies and gentlemen, and welcome to Honeywell’s Second Quarter Earnings Conference Call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Mark Bendza, Vice President of Investor Relations.
Mark Bendza: Thank you, Warren. Good morning, and welcome to Honeywell’s second quarter 2020 earnings conference call. On the call with me today are Chairman and CEO, Darius Adamczyk; and Senior Vice President and Chief Financial Officer, Greg Lewis. This call and webcast including any non-GAAP reconciliations are available on our website at www.honeywell.com/investor. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our businesses as we see them today. Those elements can change based on many factors, including changing economic and business conditions and we ask that you interpret them in that light. Unless otherwise noted, the cost action plans described herein are not final and may be modified or even abandoned at any time. No final decision will be taken with respect to such plans without prior satisfaction of any applicable requirements with respect to informing, consulting or negotiating with employees or their representatives. We identify the principal risks and uncertainties that may affect our performance in our Annual Report on Form 10-K and other SEC filings. This morning, we will review our financial results for the second quarter of 2020 and share our views on the third quarter of 2020. As always we’ll leave time for your questions at the end. With that, I’ll turn the call over to Chairman and CEO, Darius Adamczyk.
Darius Adamczyk: Thank you, Mark, and good morning, everyone. Let’s begin on slide two. The second quarter was one of the most challenging quarters Honeywell has ever faced. The widespread reprecussions of the COVID-19 pandemic and all price volatility sale impacted many of our businesses and end markets. There are a number of factors beyond our control in the current environment. We were laser focussed on the drivers of value that we can’t control. In the second quarter, we made numerous investments in newly emerging growth opportunities. We aggressively managed cost to protect margins and we generated very strong cash flow. We delivered adjusted EPS of $1.26 in the quarter on sales that were down 18% organically consistent with the greater than 15% organic sales decline we signalled in May. Our phase 1 cost plans delivered approximately $500 million of year-on-year benefits in the second quarter and we completed planning for a phase 2 plan. These actions help us protect margins, limiting our decremental margins in the quarter to only 33%. In fact, we are actually able to expand segment margin in two of our four segments. Despite the challenging macro-economic conditions, we generated $1.3 billion of pre-tax flow driven by cost actions and customer collections resulting in adjusted free cash flow conversion of 140%. We prudently deployed approximately $900 million of cash primarily to dividends and CapEx investments. We committed approximately $250 million of incremental growth, capital expenditures compared to our previous allocated budget for new projects to accelerate our investments in safety products, Intelligrated and other growth opportunities. These are high return investments expected to generate triple digit IRRs. Let’s turn to slide three to discuss the work we’ve done to pivot our business given the current environment and emerging customer needs. I'm proud of the quick mobilization by employees throughout the company to rapidly innovate and provide solutions for both urgent and long term customer needs. To address the urgent need for PPE, we are significantly growing our personal protective equipment business. We expanded facemask productions, and specifically our N95 and equivalent mass production in Arizona, Rhode Island, the United Kingdom, India, the UAE and China. In the U.K., we create a new manufacturing line capable of producing a significant amount of mask at our new house site in Scotland, which will assist the U.K. government's response to COVID-19 pandemic, as well as serve as the European -- serve the European region. In addition to our expansion of United States, India and China capacity we have added capacity in the UAE. We're partner of Strata manufacturing, a subsidiary of Abu Dhabi state fund Mubadala Investment Company to produce N95 masks. Beyond masks and other PP&E we’re innovating to provide creative solutions for new areas of customer demand. We recently announced our partnership with SAP to create a joint cloud based solution to improve building performance, based on Honeywell Forge and the SAP Cloud Platform. Building owners often need to pull data from disparate sources that are not normalized, making it extremely difficult to determine the true efficiency and utilization of their portfolios. The Honeywell Forge and SAP Cloud for real estate solution will streamline and combine operational and business data enabling customers to benefit from building performance optimization, including reduced carbon footprint and lower energy cost as well as improved tenant experience. This will be especially useful as buildings come back online in the midst of the COVID-19 pandemic and economic crisis as building owners are expected to focus on key performance indicators tied to enhanced occupant safety, and reduced operating costs. We have also launched an integrated set of healthy building solutions to help building owners improve the health of their building environments, operate more cleanly and safely, comply with social distancing policies and help reassure occupants that it is safe to return to the workplace. We are partnering up with pharmaceutical and biotech customers in our Aclar Healthcare Packaging business to develop innovative packaging solutions for future COVID-19 therapies and vaccines. We have launched new bottles and vials called Aclar Edge that enable ultra-high moisture barrier without the limitations of glass. We've also launched a Honeywell ThermoRebellion temperature monitoring solution, which can be rapidly deployed at the entry of our factory, airport distribution center, stadium or other commercial buildings to quickly and efficiently identify whether personnel exhibit an elevated temperature using advanced infrared imaging technology and artificial intelligence algorithms. In aerospace, we are helping to provide a safer and healthier travel experience with ultraviolet cabin cleaning system. The Honeywell UV cabin system can treat an aircraft cabin in less than 10 minutes, for just a few dollars per flight for midsize to large airline fleets, significantly reducing certain viruses and bacteria on cabin surfaces. I am very proud of the part we are playing to keep people safe and healthy by providing new solutions for urgent customer needs. We remain committed to continuing Honeywell’s long legacy of innovation, and we are continuing to invest in our future in good times and bad. We also recently formed new business units dedicated to advancing our position in growing industries for sustainable energy and unmanned aerial systems. Our new sustainable technology solutions business in PMT will develop and commercialize new technologies that will help meet the growing demand for solutions that accelerate the path to a low carbon economy. This includes growth opportunities into plastic circular economy, energy storage, gas decarbonisation and renewable fuels. In aerospace, our new, unmanned aerial systems business has continued to introduce new, innovative products for this exciting market, and recently conducted in-flight testing of sensors that will guide urban air mobility vehicles to land without pilot intervention. These are challenging times for all, and we are rapidly addressing our end market and customer needs through innovation, and mobilization of resources across the organization. Finally, I'd like to make a few comments about our commitment to diversity, inclusion and equality. Let me be clear, we’ll never tolerate racism at Honeywell, fully embracing the principles of diversity, inclusion and equality and treating all employees with the utmost respect are requirements for working here. In addition, we are committed to the following actions. We will continue to evolve our community relations programs and partnerships with key external organizations to promote diversity, equality and opportunity for all. And we will intensify our focus on the recruiting, retention and development of women, veterans and minority groups. And we will continue to rigorously enforce our code of business conduct, which makes it explicit that there is zero tolerance specifically for racial discrimination. We recognize that these steps are starting point, not an end, and we are committed to continuing to make progress. Now, let me turn it over to Greg on slide four, to discuss our second quarter results in more detail, as well as to provide our views on the third quarter.
Greg Lewis: Thank you, Darius and good morning everyone. As we highlighted in our May call, the second quarter presented significant challenges. However, we effectively managed with a strong operational execution that our stakeholders have come to expect of us. For the second quarter, sales declined by 18% organically as the effects of the pandemic spread across the globe. Substantially lower sales volumes in our most challenged end markets in Aerospace and PMT drove 280 basis points of segment margin contraction, while we delivered strong sales and orders growth in both our warehouse automation and PPE businesses. Our phase 1 cost actions delivered approximately $500 million of year-on-year benefit in the quarter, which brought us to approximately $700 million of savings in the first half. We will discuss that later on in the presentation. We delivered adjusted earnings per share of $1 26, down 40% year-over-year as we funded over $250 million of repositioning in the quarter to drive cost savings in 2020 and into 2021. As we previewed in May, repositioning was significantly higher than the second quarter of last year, driving a $0.19 headwind below the line. A higher adjusted effective tax rate resulted in a $0.06 EPS headwind compared to last year, partially offset by $0.04 of EPS benefit due to lower share count. This quarter EPS is adjusted to exclude the favorable resolution of a foreign tax matter related to our spin-off transactions in 2018. So on a GAAP basis, our second quarter earnings per share is $1 53. You will find a bridge of our EPS in the appendix of this presentation. We generated $1.3 billion of free cash flow driven by strong customer collections, despite a difficult operating environment and our adjusted free cash flow conversion was 140%, up 40 points year-over-year. In terms of capital deployment, we paid out $650 million in dividends. We also invested over $225 million in capital expenditures in the quarter, up $56 million from the prior year. Our CapEx in the second quarter included the first tranches of investments that we are making to produce and N95 masks to support the Coronavirus release efforts. Overall, this was a very challenging quarter, but we continue to execute, managing costs and our cash flow with the discipline and rigor you can expect from Honeywell. Now let's turn to slide five and we can discuss our segment results. Starting with Aerospace, sales were down 27% on an organic basis as the steep reduction in flight hours lowered commercial aftermarket demand, and a slowdown in original equipment build rates in addition to the 737 MAX impact in air transport, impacted commercial OE more broadly. Our air transport aftermarket business was down 56% organically and our business aviation aftermarket business was down 50% organically in the quarter. The declines in commercial aerospace were partially offset by continued demand for U.S. government programs including the F-35, F-15, and the Orion space program driving 7% organic growth in a defensible space business. For the quarter, the defensive space backlog finished up double digits, giving us confidence will continue to deliver growth in that business throughout the second half of the year. Aerospace segment margins contracted 510 basis points driven by lower commercial sales volume and business, mix partially offset by class actions to improve productivity. In Honeywell building technology, sales were down 17% organically, primarily driven by deferrals of product purchases and security, building management systems and fire and softness and building solutions due to delays in the projects and energy businesses, some of which is a result of site access constraints due to shutdowns, particularly in India and the Middle East. Organic sales improve sequentially as the quarter progressed for the short cycle products businesses. HPT segment margin expanded 50 basis points in the second quarter, driven by commercial excellence and cost actions to improve productivity, which offset the impact of lower sales volumes. In Performance Materials and Technologies, sales were down 17% on an organic basis. Process solution sales were down 13% organically, driven by volume declines in products, including thermal solutions, smart energy and field instruments. In UOP sales were down 25% organically, driven by declines in gas processing, lower licensing and lower catalyst shipments due to weakness in the oil and gas end market. As expected, we saw new orders declined significantly in the second half -- in the second quarter as COVID-19 and the oil price volatility led to lower bookings in HPS and UOP. However, we have not seen a significant project cancellations to date. Organic sales and advanced materials were down 18% driven by lower automotive refrigerant volumes due to automotive plant closures, offsetting double-digit growth and packaging, composites and electronic materials. Flooring product sales into the automotive end market improved sequentially by month throughout the quarter, as automotive plants began to reopen. PMT segment margins contracted 460 basis points in the second quarter, driven by the impact of lower sales volumes partially offset by class actions to improve productivity. Finally, in safety and productivity solutions, sales were up 1% organically driven by more than 20% growth in Intelligrated and over 100% growth in the respiratory personal protective equipment space, particularly partially offset by weakness in Sensing and IoT, portable gas sensing and productivity products. Orders in SPS were up approximately 90% in the second quarter, led by record high bookings of $1.2 billion in Intelligrated, up 300% year-over- year, and over $650 million of bookings in personal protective equipment, positioning SPS well for the second half of the year and into 2021. SPS segment margin expanded 150 basis points in the quarter, driven by productivity including cost actions net of inflation and commercial excellence. So overall, we finished the challenging quarter with significant top line impact from the COVID-19 pandemic. However, we grew in several businesses including defense, Intelligrated and PP&E and due to prudent cost management and commercial excellence, we were able to limit decremental margins at 33% overall, and expand margins in HBT and SPS. Now, let's turn to slide six to discuss our cost management actions in more detail. We previously announced our phase one cost reduction efforts which we rapidly started implementing in the first quarter. This included curtailment of discretionary expenses, cancellation of 2020 merit increases across the enterprise, reduced executive and board pay, reduced work schedules, and a first phase of targeted permanent census reductions. During the quarter, we completed preparation of a second phase of class actions to expand permanent census reductions, which we also began executing in June. The result is that we reduced fixed costs by approximately $700 million year-over-year in the first half, which is pushing us toward the high end of our original phase one target range of $1.1 billion to $1.3 billion. The phase 2 actions to deliver approximately $200 million of 2020 benefit, so the combination of phase 1 and phase 2 is expected to reduce cost by $1.4 billion to $1.6 billion in 2020. Our aggressive deployment of repositioning funds $250 million in the quarter and $325 million in the first half is serving us well. I do expect our fixed costs to be pressured sequentially in the third quarter as the permanent reductions begin to replace the benefits of the more temporary actions. Now let's turn to slide seven and discuss our balance sheet and liquidity. We exited the first quarter in an incredibly strong position on the balance sheet, and we took additional actions during the quarter to further bolster our financial flexibility. In the second quarter we issued $3 billion in long term debt instruments with maturities in 2025, 2030 and 2050 replacing a portion of the term loan financing, which we reduced commensurately, from $6 billion to $3 billion. So as to access -- we fully drew down on the remaining term loan so as to access the liquidity of $6 billion that we had highlighted previously. As a result, we ended the quarter with $15.1 billion of cash and short term investments on the balance sheet, and a net debt-to-EBITDA ratio below 1 to $15 billion of cash and short term investments compares to only $3.5 billion of commercial paper and $800 million of long term debt coming due within the next year. As you'll recall, we substantially completed our 2020 share repurchase commitment in the first quarter, and we were focused on liquidity preservation in the second quarter. We deployed $650 million to dividends and approximately $225 million to CapEx in the quarter. While being prudent on CapEx overall, we will continue to fund growth investments in the second half, and we expect full year CapEx to be approximately $900 million, including the additional growth capital Darius mentioned earlier. We are committed to holding share count approximately flat with the second quarter for the remainder of the year at a minimum. We are open to deploying capital to share repurchases and M&A investments in the second half of the year, if attractive opportunities become available. On the topic of M&A, we are pleased to welcome Emily McNeil to Honeywell this quarter as our new senior vice president corporate development and Global Head of M&A who will be responsible for maintaining and building our robust pipeline of acquisition opportunities that are strategically well positioned to accelerate Honeywell growth. We are very excited to have Emily on board. Now let's turn to slide eight to discuss our segment outlook for the quarter. The next few quarters will continue to be unpredictable and our visibility has limits under the current circumstances. Accordingly, we are continuing the suspension of full year guidance until the economic environment stabilizes. And we can once again give reliable and comprehensive forecasts. We believe it's important that we provide a level of precision that is commensurate with our ability to forecast in the current environment, and therefore we will provide the same set of inputs that we provided in May. We are closely watching several key drivers of uncertainty in the third quarter. First and foremost, the severity of increasing COVID infections and the potential for additional lockdowns is still very fluid and could have significant impacts on the macroeconomic environment. The support provided by the fiscal stimulus programs deployed in the second quarter by governments globally, will diminish in the third quarter, an additional stimulus is uncertain particularly in the U.S. which complicates the visibility through economic stability. The geopolitical environment and traceability also continues to be a wild card. From an end market perspective, the dynamics in the air travel industry including flight hours, retirements, and used serviceable materials, as well as oil price volatility and CapEx and OpEx budgets which affect our PMP business are not stable yet at this point. With that said, the impact on customer solvency and aging receivables remains a question mark as well and a potential future risk that we're monitoring. Together these drivers are difficult to predict and set the stage for challenging quarters ahead. So as best we see it, starting with aerospace, we expect global flight hours to remain far below pre COVID-19 levels, which will significantly impact our commercial aftermarket business. We do expect their transport flight hours to begin recovering from second quarter lows. Those sequential improvements in commercial aftermarket sales due to flight hour improvements may be offset by the impact of used serviceable materials, and rotation of fleets. Our commercial, original equipment business will continue to be impacted by lower air transport, OEM build rates and lower business jet demand due to the economic slowdown. We are anticipating that government defense budgets will remain intact, and we expect continued growth in defense and space. In combination, we expect aerospace sales once again to be down more than 25% compared to the third quarter of 2019. Moving onto PMT, a combination of volatility in oil prices, coupled with the uncertainty stemming from the global pandemic has continued to put pressure on our businesses linked to oil and gas. We've seen a continued reduction in customer CapEx and OpEx budgets as well as project delays and site access constraints, which are impacting the engineering and licensing business in UOP and orders and projects and automation solutions in HPS. We also expect on-going headwinds for our products, businesses and process solutions causing declines in field services -- in field devices and thermal solutions. As we have previously discussed, we entered 2020 with a healthy backlog of global mega projects in HPS, which was still up over 80% year-over-year for the second quarter. And we expect these projects to continue to convert for the next few quarters. Access to customer sites will likely remain in, especially in high growth regions, including India, and Middle East. In UOP, we expect continued weakness in gas processing and lower cattle shipments due to lower production and refining volumes. Additionally, we anticipate new products will continue to push to the right and progress on current contracts may be delayed, resulting in continued pressure on UOP, licensing and engineering. Within advanced materials, we expect that automotive refrigerant volumes will continue to recover as auto OEM plants increase production and capacity levels. In Specialty products, we expect strong demand for healthcare packaging and electronic materials. Altogether, we expect PMT sales to be down more than 10% compared to the third quarter of 2019, driven principally by the volatility in the oil and gas markets. In HBT, while we do expect access to customer sites to improve in some regions in the third quarter, the current environment of non-residential product -- projects in multiple verticals have paused, and customers are deferring non-essential spending, impacting the timing of long cycle building solutions projects, and delaying purchases of security, building management and fire products. We expect these dynamics to continue in the third quarter, but to improve sequentially. In addition, Darius mentioned our new healthy building solution and our partnership with SAP for buildings, which we see as emerging growth opportunities. We expect HPP sales to be down more than 10% compared to the third quarter of 2019. And finally in SPS, the surge in e-commerce as governments enact social distancing requirements has strengthened demand for our warehouse automation business, and support continued conversion of our robust Intelligrated backlog. Our Intelligrated orders were up over 300% in the quarter to $1.2 billion, driven by major systems, bookings and Intelligrated backlog remains very strong, up 140% year-over-year to $2.1 billion. So we expect this business to perform well for the remainder of the year. We are also continuing to see record level demand for respiratory masks and other personal protective equipment. PBE orders were up triple digits for the second consecutive quarter, would strengthen the respiratory, head, eye, face, gloves and clothing categories. Our personal protective equipment backlog is now also at triple digits and our total SPS backlog is at an all-time high. The macro conditions continue to put pressure on other SPS businesses including sensing and IoT, gas sensing and productivity products where we expect to see declines in the third quarter. Overall, we expect sales in SPS to grow single digits compared to the third quarter of 2019, less than 7% overall a very good result. So while there are signs of stabilization in the macro economy, key end markets remain challenged and economic conditions fluid. We have both opportunities and challenges in the portfolio, but on balance, we expect sales for the company to be down again more than 15% versus the prior year. We expect between $125 million and $175 million of additional repositioning charges in the third quarter to fund our cost programs. This increase in repositioning in the second and third quarters will drive higher repositioning cash outflows in the second half of the year, putting pressure on our free cash flow. Additional details for our tax rate, share count, and below the line expenses are included in the appendix. With that, I'd like to turn the call back to Darius.
Darius Adamczyk: Thank you, Greg. Let's wrap up on slide nine. As we expected, this quarter proved to be very difficult, but we effectively managed to the challenges with strong operational execution and cash generation. We remain cautious heading into the second half of the year, if there are still many unknowns. However, our diversified portfolio and significant balance sheet strength will continue to provide resilience in these uncertain times. We acted quickly and responsibly to make structural changes to our cost base during the quarter. We funded over $250 million in repositioning and we identified significant additional actions to align our cost base with the current environment in 2020 and 2021. Despite the challenging times, we are delivering growth in several parts of the portfolio, particularly in Defense, Intelligrated and Personal Protective equipment. We're also investing in growth opportunities, and working hard to provide innovative solutions for emerging customer needs. I am proud of everyone at Honeywell who is working hard to adapt and deliver this challenging environment. I'm confident we will emerge from this crisis even stronger than ever. With that Mark, let’s move to Q&A.
Mark Bendza: Thank you, Darius. Darius and Greg are now available to answer your questions. Lauren, please open the line for Q&A.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And our first question is coming from Jeff Sprague with Vertical Research. 
Jeff Sprague: Thank you. Good morning everyone. Two from me, if I could. Very clear on the cost out what you expect to deliver in 2020. Darius or Greg, though, given that some of this stuff is kind of in flight over the course of the year here, I just wonder if you could give us a little bit of feel of kind of what the carryover positive effects of this phase 1 and phase 2 would be, as we look into next year?
Darius Adamczyk: Yes, well, I think, we sort of provide some guidance on that in the 60% to 70%. Because I think you have really three buckets of cost that we think about right, which is purely temporarily and think about those as furloughs, which obviously are going to come back. The second bucket is what I call semi-permanent, those are some of that indirect cost base, which obviously are impacted, which they're not permanent in nature, but we think some of those are going to carry over into 2021. And obviously, permanent reductions, so the 60 to 70 is a pretty good guide around that includes primarily the permanent reductions, and then some portion of the semi-permanent because obviously, on the indirect cost, we're not going to be as low as we were in 2020. But we're also not going to get back to 2019 levels. So we kind of have, think about a 50:50 or something in that kind of a split that we approximate. That's sort of the rough guide, how to think about that. I don’t know Greg, if you want..
Greg Lewis: No, that’s right. And again, at the midpoint of our 14 to 16, you can kind of use the one five number, extrapolate that 60% to 70% from there.
Darius Adamczyk: I mean, I think the only Jeff -- the only unknown is you know, sort of timing because the permanent ones the timing isn't perfectly predictable. And some of it may move soon, sooner, some may move later. So I think timing element is, I would say somewhat unpredictable, but not sliding more than, let's say a quarter.
Greg Lewis: Yes. And that'll be that'll become much, much clearer, 90 days from now, as we get through the third quarter.
Jeff Sprague: And second question, just again trying to get a sense of what the future holds. And I totally respect you don't want to kind of give really explicit guidance yet, but the framework here certainly helps. You gave us SPS orders, could you give us orders for the other two segments in the quarter? So we have kind of a feel for what you're working with here as we look forward.
Greg Lewis: Yes. I mean, if you think about HBT and PMT, they were down in the teens is the way to think about it. You know, obviously [in aero] [ph] they were down mid-double digits. I mean they were significantly down. But I think there's, so that's sort of a hopefully that gives you some color. But I think, there's a couple of really important things to remember. Our total Honeywell backlog actually is up 3%. And even the PMT backlog is up 2%. So, obviously orders actually kind of came in, more or less where we expected them to do. But overall, the backlog position improved which I think was a pretty good sign. So all-in-all, not as bad as we anticipated.
Jeff Sprague: Right, thanks. I'll pass it.
Greg Lewis: Thanks, Jeff.
Operator: Our next question comes from Steve Tusa with JPMorgan.
Steve Tusa: Hey, guys, good morning.
Greg Lewis: Morning, Steve.
Steve Tusa: Just on Aerospace when you look out to the kind of third quarter just profile wise, what do you expect between OE and aftermarket, you know will one be picking up a little bit, the other decelerating? I mean, what is the -- just on year-over-year basis, how do we think the kind of the moving parts for those two guys on the commercial side?
Darius Adamczyk: Yes. Maybe I'll start, I mean, just to give you a little bit of a -- so let's kind of divide it up into three segments. We'll start with defense and space. We expect that to grow again. So that's been the strength for our business in aerospace in Q2. We expect that to continue in Q3. When you think about OE, we actually expected to be flat to down versus Q2 for couple reasons. Number one, obviously, we had some carryover back from Q1 in terms of shipments. Number two is in some segments, in some of our OEs that we don't see the robust production rates exhibited in Q3. So we don't see that improving. In terms of business aviation aftermarket, we expect that to be slightly better than it was in Q2. And then, finally in ATR, that one is toughest to call. And I'll tell you why. Because you can't just look at flight hours. So, all the flight hours will be better. And you if you think about our low to mid 70s reduction year-over-year in Q2, we kind of estimated Q3 to be something in the, call it, 50s or something of that nature, which actually maybe a little bit aggressive. But the thing to think about here is that it's not -- there is a lead and lag impact. And the second component which is somewhat unknown, although we haven't seen it, is there going to be cannibalization of some of the parked aircraft. So that one for us is really tough to call. And we're going to have to just kind of see how the quarter evolves. And that's why its hard for us to give precise guidance, because these things are unknown. We had airlines adding more flights in July and August. Now they've have pulled back their schedules a bit in August. So there's a lot of moving pieces here. And I think the ATR aftermarket component is toughest one to call.
Steve Tusa: And sorry, when you talk about kind of that USM, the used parts dynamic, your businesses is electronics. There are some software, obviously, you have some mechanical components. But I mean, outside of putting business jets aside, just looking at the large commercial stuff, I mean, how much of your business is even kind of exposed to that. It wouldn't seem to me to be a material mover maybe by few hundred basis points, but not something that can really swing things around in a major way. Correct?
Darius Adamczyk: No. Its not -- no, I don't think its going to dramatic. But I think it would be wrong to just say, well, to tie the aftermarket performance purely to the quarter-over-quarter flight hours. Because we do think obviously flight hours are going to better in Q3 versus Q2. But I don't think its necessarily just a pure correlation. We think it's going be a modest -- very modest impact. And keep in mind that we also had some orders back all the way from Q1 that we still filled in Q2, so we had a little bit lead/lag impact. So I don't think something dramatic, because the natural assumption will be, okay, well, its going to be a lot better in Q3. The fact is, we're really not sure, because we need to kind of see how things evolve in some of the factors I talked about.
Greg Lewis: Yes. I don't think airlines behaviors aren't necessarily solidified yet.
Steve Tusa: Yes. One last one, just getting at the cost discussion with bit of a different way. Probably in the worst quarter hopefully that you ever see as CEO, you guys are putting up headline decremental of 33%. Would the goal be to kind of on the way up, leverage at when things normalize, kind of leverage at the -- a comfortable number that's comfortably above that? Would that kind of be the high level total [ph]?
Darius Adamczyk: Yes. I mean, I think -- look, I mean, 33% given the sudden kind of stop in our business. We actually view its pretty good given that what we have aerospace exposure and oil and gas exposure. So I think that that's going to be respectable performance.
Greg Lewis: Which by the way was substantially different then ‘08 and ‘09? The aftermarket up here is multiples of what it was in '08, '09 recession, which really puts a lot of pressure on those decrementals.
Darius Adamczyk: But our plan here though is to show improvement from this number going forward. I don't think its going to be dramatically better in Q3. But we do expect modest improvement in some of the -- in that 33. So that's sort of how we're thinking about it.
Steve Tusa: Right. Okay. Thanks a lot. Thank you.
Darius Adamczyk: Thank you.
Operator: Our next question comes from Scott Davis with Melius Research.
Scott Davis: Hey, good morning guys.
Darius Adamczyk: Good morning, Scott.
Scott Davis: Guys, there was a lot of fanfare around this SAP cloud Forge thing. And maybe you can back up a little bit. I mean, can you can you help us size it a little bit? Or think about what -- how do you get paid for it? What's the opportunity is -- and maybe some early signs around take rate? Just some color about really what the upside is in that alliance?
Darius Adamczyk: Yes. I think it's really, really exciting, because I think Honeywell and SAP have, what I call, complimentary growth strategies. So this alliance, we started out in buildings, but I think it's -- I think we have a much broader opportunities. And just to give you a perspective, clearly the connected buildings part was really a highlight of our Q2 in terms of our connected enterprise. And just to give you the level of growth, we saw 26% growth in that segment in Q2. So, in this environment and given, I think that's tremendous. Obviously, we're onto something. In terms of some of the growth drivers, I mean, obviously, it's energy savings, its security, it's a coherent interface, so that building owners or maintainers can understand what's going on. It's building occupancy optimization. Now with the launch of healthy business buildings, it's also social distancing. It's wearing PP&E, temperature monitoring, clean air quality, all these elements are part of that connected buildings offering, which we're now augmenting even more with a broader focus on kind of creating a healthy environment for the office worker. And the other maybe one last thing I'd want to add on to, Scott, is that we're also in our HBT business. We're also reorganizing to be much more end market vertical oriented. So for example, we're going to go to the market is set a solutions for healthcare or hospitals, for stadiums, for airports, for office buildings, for data centers. So that's an evolution in our HBT strategy. And I think we're going to-- it's going to be that much more effective, because we're going to be that much closer and much more intimate with those customers and their needs.
Scott Davis: Thanks. I'll follow up with you on the sizing. And it doesn't sound like you want to answer that part of the questions.
Darius Adamczyk: Yes. I think, I'm not ducking the question, because frankly, we're creating the market. Whenever you create a market, it's hard to guess at the sizing. But just our own installed base is vast. We think that over time, this could be a billion dollar business just that's sort of our scope. And we don't think that that's like decades away. So, we have big hopes in double-digit growth rates are in expectations. And the good news about that is, even in an environment like we had in Q2, which was an all time worst for Honeywell, I mean, literally, it was probably the worst quarter hopefully I'll ever see, 26% growth gives you the kind of traction we're gaining in this segment.
Scott Davis: No, you answered the question. So Just a quick follow up. The order growth and intelligrated is pretty dramatic and not a total surprise, but they're big numbers. Can you actually satisfy that demand without incurring some extraordinarily kind of costs around, maybe over time or…?
Darius Adamczyk: Well, I mean, that's -- I mean, you heard, Greg discussed this. I mean, we're aggressively investing in our CapEx.
Greg Lewis: And people.
Darius Adamczyk: And people. So we're cutting in some areas, because we have to, but we're actually adding a lot of people and others. So, $250 million of incremental CapEx that we never had in our budget. And Scott, I think this is an important data point. I just want to give you and I think it's one to remember. When we bought intelligrated, roughly $800 million to $900 million business per year. We booked $1.2 billion this past quarter. That gives you the kind of growth profile we're seeing in that business.
Scott Davis:
terrible:
Operator: Our next question comes from Julian Mitchell with Barclays.
Julian Mitchell: Hi, good morning.
Darius Adamczyk: Hi, Julian.
Julian Mitchell: Hi. Maybe just the first question around the free cash flow. So you had good conversion in Q2, but I think the first half was running in the 80s percent-wise on conversion. You talked about some restructuring going perhaps in the second half. Greg, so maybe just help us understand where you're seeing free cash flow conversion perhaps for the year as a whole. And any other major swing factors in the second half that we should think about?
Greg Lewis: Yes. So, I'm not going to give you a conversion rate, because, again, that also is dependent on where things come out on the bottom line, which is we discussed we're not going to guide here today. But as it relates to some of the pressure points, I mean, obviously, we harvested the receivables with our -- in Q2, which was good. And we also were able to bring down some of our pass-through receivables. We worked very closely with a lot of our customers, particularly in the airline space to make sure that we are managing some risks around that. So pleased about the results there. But going forward, again, as I mentioned, the solvency risks, I think are in front of us, not behind us. And so, that may create some challenges in the back half of the year as we start seeing additional bankruptcies. And again, a lot of that depends on behavior travel, any stimulus that may come out in the back half of the year and so forth. The other thing is, I did mention repositioning and we booked over $300 million of repositioning, a lot of those are very fast payback less than, I think about less than a year kind of payback. And a lot of those are very heavy from a severance perspective. So, we spent about $170 million of cash, repositioning in the first half of the year. I expect that to be probably double that number in the back half of the year round about. So that's going to be a pressure point for us as well. And then again, we are investing in capital. So, this year -- if you think back to when we originally did our outlook call early in the year for 2020, we had about a $900 million capital budget. And even with this decline, we're still at about a $900 million capital budget for the year. That's because we did do some smart things to reduce CapEx in places where things were slowing. But with all the growth programs that we're adding, and as Darius mentioned, these things have triple digit IRRs. So we're going to do them. So our total CapEx for the year is going to be $900 million, even this year. And we only spent about $370 million in the first half. So that's going to ramp up in half two. And then if you remember, we also did talk about at the very first guidance call early in the year that we were going to have an extra payroll cycle in 2020. And that's going to happen in 4Q. So that was like $150 million, $170 million. So, I think this would be our best cash quarter of the year. And again, we're happy with the work that we've done, particularly around receivables management. We have work to do an inventory now. And so, those would be the main things that I would highlight. CapEx, repositioning cash, that pay cycle, dynamic is going to play out in 4Q and we've got to work on our inventory management.
Darius Adamczyk: And I think from an investment perspective, I would just add that, we're nearly doubling our growth CapEx from our original plans, because to be honest, I haven't seen IRRs ever that were triple digit. And it's by far the best we could put our capital to work with some of these high return CapEx projects and they're terrific. And we're not afraid to, I mean, if need be, we may even be targeting more investments for growth in the second half.
Julian Mitchell: Thanks, Darius. So yes, I think you point just now on the scores that you're thinking clearly about the recovery and how to position Honeywell for that in terms of organic investment. I guess following up on that, how should we think about capital deployment from here? You're making that push on the organic side. Are you looking out at the M&A landscape and your balance sheet and thinking this is the right time to go ahead and start to upscale the portfolio through acquisitions as you try and position yourself for the next up term? Or is it we probably should expect a balance of M&A and buy back for the next six or 12 months?
Darius Adamczyk: Yes, I mean, I think, we're always going to see some level. We hope to see some balance, right? I mean, I think that's kind of --its going to be the formula going forward. I certainly will tell you that, the M&A function is open for business. I mean, I think we -- it was prudent for us to take a little bit of a pause in Q2 just to see how the world evolves, how things are going to change, and so on. But A, you kind of saw the -- kind of working capital performance we had. And we've further secured the balance sheet and protected even more. And I think you would agree that the balance sheet is very strong and well protected, well funded. So in short, we're very much open for business, both from an M&A perspective, as well as potential buyback perspective. And we already made a commitment that we're going to at least keep share count flat from here, which is new news. And we're going to kind of take a look at what opportunities are out there in the second half. I mean, the M&A environment is just a little bit slower just because everybody is focused on battling the crisis. But we think that that may open up a little bit more here in a second half and we hope to be active.
Julian Mitchell: Great. Thank you.
Darius Adamczyk: Thank you.
Operator: Our next question comes from Andrew Obin with Bank of America.
Andrew Obin: I guess, good morning.
Darius Adamczyk: Good morning, Andrew.
Andrew Obin: Just a question on defense and space, which was a highlight in arrow. How much visibility do you have on DoD being able to accelerate payments on programs? Basically, what happens in 2021? Is defense and space -- I'm not asking about the end market outlook, but -- so there is a very sort of basic cash outlay dynamics by the Department of Defense to you guys on existing programs. So does that mean that 2021 has to be down or is there a chance that 2021 can be flat? Specifically on Defense and Space.
Greg Lewis: Yes. At this stage we're not expecting a decline in 2021 at this point. We feel like the defense budget is as you highlighted is still fairly robust. So, not expecting a material downshift from 2020 to 2021.
Andrew Obin: And just a follow-up question. You highlighted masks and just I guess, two pronged questions, I think. It was great strategic move on your part of respiratory protections. So A, do you have plans to continue to increase capacity on masks? And part two of the question, does it open sort of strategic opportunities for you down the line and safety to build on this new strength?
Darius Adamczyk: Yes. Andrew, I'd say, well, first of all it's more than masks, right? So this isn't just masks. Mask's a part of it. But it's other PP&E. It's also expanding capacity in our sensing business for pressure sensors, which go into a lot of the medical equipment that our hospitals desperately need. So, I would say that our capacity expansion is much more broad based. And it's not just mask oriented. But certainly, as we look longer term, this sort of opens up new opportunities for us. I'd say maybe less -- it's less about masks, but a little bit more about steering their business towards serving the medical segment. That's kind of how we think about it.
Andrew Obin: And any plans to add additional capacity specifically on N95 in the second half on top of what you [Indiscernible]?
Darius Adamczyk: Yes. We've been doing that gradually. And as we see the demand, we're certainly not going to be afraid to add even more capacity. So as we -- the demand is still very robotic. And I think it's very possible that we could be adding even more capacity here in the second half of the year.
Andrew Obin: Thank you very much.
Darius Adamczyk: Thank you.
Operator: Our next question comes from Joe Ritchie with Goldman Sachs.
Joe Ritchie: Thanks. Good morning, everyone.
Greg Lewis: Good morning., Joe.
Joe Ritchie: Hey, Darius, maybe let's just start on UOP and HPS. I know when we kind of talked into the quarter, it seems like you were a little bit more sanguine about UOP kind of recovering quicker just given miles driven, should be fairly more resilient this cycle versus prior cycles. I'm just curious whether that's changed at all? And what you're seeing along those lines?
Darius Adamczyk: Yes. I mean, I think the segment for UOP that was the most challenge is our gas processing segment, which obviously is closely tied to the unconventional gas production primarily in the U.S. and as you know that's very challenged. So we saw some pretty big drop off. But even before this crisis hit, I mean, the mix in UOP can vary substantially from quarter-to-quarter or even year-to-year. And we always knew we had a very heavy equipment mix in the business into Q2 and Q3 of this year. And even if this recession hadn't hit, we always had a challenging -- now you -- mix going into it. Now you combine that with kind of a push out of a lot of the catalyst refills, push out of projects, obviously, their refining capacity wasn't as -- or demand wasn't as robust as any of us would hope here in Q2. If you combine all these factors and UOP obviously was a bit more challenged than some of our other businesses, HPS performed, I think, admirably in the quarter. I mean, some of the products businesses were a little bit more challenged than the systems businesses. So overall pretty much aligned with our expectations. And in terms of advanced materials that one was heavily impacted by the shutdowns in auto manufacturing and our supplied sources [ph] which expect to see some level of recovery here in the second half of the year.
Joe Ritchie: Okay. Fair enough. And then, maybe just one follow on question. Just going back to the cost commentary. And Greg, maybe the question for you. You made a comment about just kind of fixed cost pressure in 3Q versus 2Q. And so, how should we be thinking about like, how much of the benefits are actually coming through in 3Q versus what came through in 2Q. And potentially maybe talk a little bit about how the temporary reversals -- if there are temporary reversals that occurred 3Q is impacting that number?
Darius Adamczyk: Yes. So that's exactly why I chose the words I did. Because some of those temporary actions, furloughs, some of the other reductions in discretionary spend, that may start ticking up during the course of 3Q. And then as I mentioned, we're backfilling that with some of our fixed -- sorry, more permanent actions. But those are going to play out over the course of June, July, August, September. So, the, the steepness of that backfill is probably going to be more weighted towards the fourth quarter then the third. So we're doing our level best to try to hold our fixed costs flat. They may not be in Q3. But I would expect the one -- we talked about one-four to one-six as a range with 700 already achieved in the first half of the year. I would think the balance of that is going to be a little bit more weighted towards the fourth quarter than the third.
Joe Ritchie: Got it. And maybe like, I don't know, like sequentially, like, I don't know, call it, $50 million in pressure in 3Q verses 2Q?
Greg Lewis: I'm not going to quote you a specific number, Joe.
Darius Adamczyk: It's just -- because we simply can't call the timing of that perfectly. I mean, it's not -- obviously when -- temporary reactions are pretty easy to call, because you can sort of unilaterally implement that. When you go when you shift -- basically what we're doing Q3 and Q4 is, we're shifting and substituting some of the temporary actions we've taken in Q2 for permanent. The timing of that can't be exactly perfectly called. And as Greg pointed out, I think it's going to be a little bit more weight towards Q4 than Q3.
Joe Ritchie: Okay, fair enough. Thanks guys.
Darius Adamczyk: Thank you.
Operator: We'll take our next question from Nigel Coe with Wolf Research.
Nigel Coe: Thanks. Good morning and really appreciate you making this a no-drama Friday. So, I want to go back to your comments around decrementals. And I appreciate the comments that you think he can generate better decremetal margins into the back half of the year. And I'm wondering if that confidence extends to the aerospace margins. I think there were 39%, 40% or thereabouts in 2Q. And recognizing mix is an important factor there. But do you think that you can maintain or even improve on that performance?
Darius Adamczyk: Yes. I think the comment was more in total. I think Aero is the toughest to call because of the uncertainty around the mix that I talked about, particularly in air transport aftermarket, which is you can imagine a very interesting and higher margin revenue stream.
Greg Lewis: And you could very easily see it being sequentially down.
Darius Adamczyk: Yes. So I'm not -- I can't tell you that Areos necessarily going to have better decrementals at least in Q3. But we are cautiously optimistic that Honeywell in total will continue to drive better decremental margins as we move from Q3 and even more so into Q4, provided, of course, all of that is provided we don't have sort of a much broader and much more aggressive phase two of COVID-19, which I guess is, depending on who you listen to that, I guess it's always possible in the fall. So that's kind of how we're thinking about our math for the rest of the year.
Nigel Coe: Okay. Very, very clear. And then, again, look just peeking into 2021 within aerospace and think about business jets. At a very high level, how do you think the post COVID will look for the categories you play in, which is obviously the upper end of the markets? How does that look from your perspective, your perch in the post COVID world? It seems to me like there could be some benefits, but I'm curious how you think about that?
Darius Adamczyk: Yes. I mean, a couple points. Number one is, I think that you saw the bottom in Q2. See a gradual slow improvement as we move into Q3, Q4 and then into 2021, we're going to continue to see improvement. I think we're -- the real discontinuity here where we could see a much more dramatic improvement, which is really going to be tied to a medical solution, which is probably a vaccine when it gets distributed. Because the level of the leisure traveler is actually a little bit better than expected. People are traveling. But we need really that second leg to come in, which is the business traveler. And that part of it, we think is going to happen after we get a much broader distribution of a vaccine, which, right now I, you know, it's anybody's guess when will happen. But I think the news overall is actually pretty good. And I don't think it's crazy to think that we may even have a certified vaccine before the end of year, this year now, then we also have to think about the distribution timing and so on. So, we're optimistic that certainly there's going to be a medical solution in the first half of next year, which obviously will stimulate a greater level of air travel.
Nigel Coe: Great. Thanks very much.
Greg Lewis: Lauren, let's take one more question, please.
Operator: Thank you. We'll take our next question from John Inch with Gordon Haskett.
John Inch: Thank you. Good morning, everyone. Thanks for squeezing me in here. Hey, Darius and Greg, so, if you look at your restructuring programs in the 60 to 70 of structural. How would you anticipate so your pro forma headcount ending 2020? I just glanced at the K, it looks like you started the year with 113,000 employees. Where would we expect that kind of to end based on? And then, I don't mean on a furlough basis. I'm trying to sort of think about the significance in terms of headcount based on your structural actions that you're taking in which what you've called out?
Darius Adamczyk: Yes. I think it's tough to call it this point. I'll tell you why. Because although, we obviously know roughly what we're have in our restructuring plan. So we know what we're going to do there. What we don't know is the capacity additions, because all the work -- some of the reductions are taking place in places like aerospace to a lesser extent PMT and so on. But now we're adding hundreds, if not thousands of people in SPS. And we don't think we're done. I think that we're going to be making further investments in people, further investments in capacity. So I think it's a little bit too early to call exactly what that -- our staffing may look like at year end. And I'd hate to give you a number, which may prove inaccurate.
John Inch: No, that's fine. The magnitude of the action, Darius, seemed pretty substantial. So I'm just trying to sort of triangulate that? Could that mean, if you're weren't adding capacity here, you're taking out 5% of your headcount or how -- what else would you say about that? I suppose is kind of question.
Darius Adamczyk: Yes, I mean, I think it's -- in Aero, it's substantial. It's closer to double digit. In some of the other businesses, we're adding headcount. So a little bit all over the place. I mean, I think we've tried to be -- protect as many jobs as we can, because we frankly don't want to be doing a lot of job reductions. But I also have to be realistic. And we have to be realistic that, we don't think that this is a quarter or two phenomenon in aerospace. And unfortunately, the business is going to shrink for a little while. We do think -- I'm not, by the way, I'm not so pessimistic that I think aero is going to be down till 2024. As I've heard some estimate, I actually think it's going to come back a bit faster than that and to align to a medical solution. But realistically, it's probably not going to get back to the 2019 levels until at least 2022 or maybe even a bit later. So, we're sizing the business for that kind of a reduction.
John Inch: Yes, that that makes sense. Just as a follow up, guys you know this ultraviolet airplane cabin cleaning technology, is it applicable to what could you even sort of develop product for a commercial building, application or even residential? That would seem like a pretty big deal if you can actually extrapolate that.
Darius Adamczyk: Yes, we are -- we're working on exactly that type of a solution, which treats the air, ultraviolet light, and obviously results in a much higher air quality than anything out there. So that is very much part of our thinking and part of our solution. So we're doing some studies around, timing required, exposure to UV light required. And that's very much part of our thinking.
John Inch: Yes now you get that on the New York City subway, the economy might actually come back. Great. Thanks very much. Appreciate it.
Darius Adamczyk: Thank you.
Operator: And that concludes today's question and answer session. At this time, I'd like to turn the conference back to Mr. Darius Adamczyk for any additional or closing remarks.
Darius Adamczyk: I want to thank our shareowners for their continued support of Honeywell. We are focused on continuing to perform for our share owners, our customers and our employees in any environment. We are well positioned to manage through challenging times with our balanced portfolio, track record of execution and a strong balance sheet. I'm excited about the future of Honeywell, despite the current challenges facing the global economy. We are capturing new growth opportunities by providing innovative solutions for new customer needs, and our operational rigor will continue to serve us well. Thank you for listening, and please stay safe and healthy.
Operator: That does conclude today's conference. We thank you for your participation. You may now disconnect.